Operator: Hello, everyone, and welcome to Yatra's Fiscal Second Quarter 2026 Financial Results Call for the period ended September 30, 2025. I'm pleased to be joined on the call today by Yatra's CEO and Co-Founder, Dhruv Shringi; and CFO, Anuj Sethi. The following discussion, including responses to your questions, reflects management's views as of today, November 12, 2025. We don't take any obligation to update or revise the information. Before we begin our formal remarks, let me remind you that certain statements made on today's call may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to several risks and uncertainties that could cause actual results to differ materially. For a description of these risks, please refer to our filings with the SEC and our press release filed earlier this morning on the IR section of our website. With that, let me turn the call over to Dhruv. Dhruv, please go ahead.
Dhruv Shringi: Thank you, and good morning, everyone. Thank you for joining us on this conference call to discuss our second quarter and first half of fiscal year 2026 earnings. Let me start by briefing you first on the operational performance for the period under review, after which our CFO, Mr. Anuj Sethi, will brief you on the financial performance in detail. As you would have seen from our results and presentations that have been uploaded, it has been a remarkable quarter for Yatra as we have not only delivered strong financial and operational performance well ahead of guidance, but also celebrated 19 incredible years as one of India's most trusted travel brands. For second quarter of fiscal year '26, our revenue grew 48.5% year-over-year to INR 3,508 million, which is approximately $39.5 million. Adjusted revenue grew significantly year-over-year as well. Our growth in the quarter was fueled by resilient demand and consistent execution across both our corporate and consumer platforms. This also reflects the momentum we have gained in our corporate business and the higher-margin Hotels and Packages business as well as continued momentum in the MICE segment. Notably, our profitability metrics underscore our disciplined execution. Adjusted EBITDA surged 218% year-over-year to INR 212 million or USD 2.4 million, and profit for the period increased significantly to INR 98.8 million or USD 1.1 million versus a loss of INR 0.3 million or USD 0.1 million in the prior year, well ahead of our earlier guidance. The corporate travel market is expected to reach around USD 20 billion by FY '27. However, online penetration in this segment remains low at just about 20% in FY '24 compared to almost 45% for the overall travel market in India. This indicates substantial headroom for digital adoption across the corporate travel industry. Online penetration is accelerating, driven by rapid adoption of digital booking platforms and the uptake of self-booking tools and integrated expense management solutions. In the lodging space, branded hotels and curated packages are witnessing increasing demand from both leisure and MICE travelers, supported by improving supply, better service standards and a growing preference for experiential stays. Overall, this large and expanding market, coupled with increasing digital penetration presents a significant opportunity for Yatra, particularly in the underpenetrated corporate segment. Our Corporate Travel segment represents a meaningful part of our overall business and delivers strong momentum for Yatra. In Q2, we onboarded 34 new corporate clients, collectively adding an annual billing potential of INR 2.6 billion or USD 29.5 million. On the B2C front, we continue to make good progress in rationalizing our cost of acquisition and finding avenues to scale profitably. Bookings, which were impacted in the previous quarter due to macro events have now started to show signs of recovery. Additionally, the recent reduction in income tax and GST rates in India is expected to further boost travel consumption and discretionary spending, supporting a stronger growth outlook in the quarters ahead. On the technology front, we continue to enhance our digital platforms to deliver a more seamless and intelligent travel experience. Our Diya AI, our generative AI-powered travel assistant now enables seamless flight and hotel search bookings, streamlining the entire travel journey from planning to payment. We have also introduced a new user interface designed for hotels with a transparent per room per night pricing model, along with upfront display of taxes and fees to eliminate surprises for users. The optimized interface is designed to improve usability and drive higher conversion rates. Additionally, our best price guarantees customers can be assured to access the lowest available hotel rates on Yatra. If they find a lower price elsewhere, we match it or offer a better rate for the same booking. In sales and marketing, we celebrated our 19th year with a big outing fest, a high-impact sales campaign that was amplified across digital, social, outdoor and print platforms. As part of our broader brand-building efforts, we also strengthened our corporate travel presence on LinkedIn, driving greater visibility and engagement among enterprise customers. As part of our ongoing efforts around restructuring, the company believes it has a viable structure to pursue. While some hurdles remain, we are actively navigating processes across jurisdictions. The time line is uncertain due to complexity, but we are fully committed. This transition is key for Yatra and its shareholders, aligning us with the market and unlocking value. We'll share more updates as we move forward. As we look ahead, we see strong sustained growth opportunities driven by rising digital adoption across both leisure and corporate travel segments. Yatra is well positioned to capture this growth through our expanded corporate client base, enhanced technology offerings and a growing share of high-margin hotels and MICE business. We remain committed to disciplined cost management, profitable scaling and delivering long-term value to our shareholders while strengthening our competitive edge in the globally -- in the global travel ecosystem. Thank you, everyone. And I'll now request our CFO, Anuj Sethi, to brief you on the financial performance for the quarter under review.
Anuj Sethi: Thank you, Dhruv. Good morning, everyone. For the second quarter of financial year 2026, on a consolidated basis, our revenue from operations grew 48.5% year-on-year to INR 3,508.7 million or equivalent to USD 39.5 million, driven by continued momentum across key segments, including robust growth in our Hotels and Packages business and a meaningful contribution from MICE segment. Our adjusted margins performed strongly across segments. Air ticketing adjusted margin increased 14.7% year-on-year to INR 1,016 million, equivalent to USD 11.4 million. Hotels and Packages adjusted margin rose 28.6% year-on-year to INR 514.5 million or USD 5.5 million -- USD 5.8 million and Other Services adjusted margin grew 25.1% year-on-year to INR 95 million or USD 1.1 million, underscoring the strength of our diversified business model. Adjusted EBITDA surged 217.7% year-on-year to INR 212 million or USD 2.4 million. As a result, profit after tax increased significantly to INR 98.8 million or USD 1.1 million versus a loss of INR 0.3 million or USD 0.1 million in the prior year. In terms of segment performance, our ticketing passenger volumes declined 3.5% year-on-year to 1,329,000. However, our gross air bookings grew 11.7% year-on-year to INR 14,811.4 million or USD 166.8 million, and our adjusted margins rose 14.7% year-on-year to INR 1,016 million or USD 11.4 million, with adjusted margin percentage improving from 6.7% to 6.9%. In the Hotels and Packages segment, the hotel room nights grew by 9.4% year-on-year to 504,000. Gross bookings increased 40.4% year-on-year to INR 5,141.6 million or USD 57.9 million, while the adjusted margins expanded to 28.6% year-on-year to INR 514.5 million or USD 5.8 million with the adjusted margin percentage at 10% compared to 10.9% in the previous year. Total gross bookings across all segments increased 16.2% year-on-year to INR 20,504.8 million or USD 231.0 million. On the liquidity front, cash and cash equivalents and term deposits stood at INR 2,207.8 million or USD 24.9 million as of September 30, 2025. With this, I would like to hand it back to moderator and open the floor for the question-and-answer session. Thank you.
Operator: [Operator Instructions] We have the first question on the phone lines from Scott Buck with H.C. Wainwright & Co.
Scott Buck: I was hoping you might be able to provide a little bit more color around corporate travel trends that you're seeing in the India market. And maybe how much of your momentum there is driven by just kind of industry tailwinds versus your market share gains?
Dhruv Shringi: Good morning, Scott. Scott, to answer your question, I think today, the corporate travel market in India is growing approximately at about 8% to 9%. We are growing almost at like 2x of that rate. The reason we are growing that much faster than the industry is because what we've seen over the last few years now, last couple of years, at least, is that there is an increasing drive on the part of corporates in India to adopt digital technology to automate their business processes. And as part of that being the market leader in this segment, our teams, along with their own execution capabilities are growing at a rate which is faster than the market. So market itself is growing, you're right, but within the market as well, given the technology solution that we offer, we are able to gain market share as well.
Scott Buck: Great. I appreciate the added color there. And Dhruv, I'm curious, how are you guys thinking about M&A and the potential to accelerate the MICE business even more through acquisitions. Is that on the table?
Dhruv Shringi: So we continue to evaluate opportunities, Scott. At this point of time, I think it's hard for me to give any more direct color on that. But just as an organization, if you look at the track record that we've had over the last few years, we've successfully made some acquisitions that we've been able to integrate within the Yatra platform. So we continue to evaluate these kinds of opportunities.
Scott Buck: Perfect. And then last one, I know you touched on it in the prepared remarks. But the restructuring efforts, can you give us a little more color on maybe where you are? Are you waiting for regulators at this point? Or are there more steps that you need to complete on your end.
Dhruv Shringi: I think there are a few more steps that we need to complete at our end, but along with [ MDs ], given the nature of this work in tandem with the regulators as well, we are hoping that in the near term, we can give some more concrete information, right? But given that there are multiple jurisdictions, multiple regulators involved in the process, the time line is slightly uncertain, but we are quite confident that we are moving in the right direction with this.
Scott Buck: Okay. Perfect. I appreciate the added color guys. And congrats on all the progress.
Operator: [Operator Instructions] I can confirm that does conclude the question-and-answer session here. And I'd like to hand it back to Dhruv for some final closing -- I apologize. We do have a question on the line from Aman Jain with PMB Securities.
Unknown Analyst: I just wanted to check specifically on the consumer business, how profitable is it vis-a-vis our corporate travel business. And how do you see it trending? I understand in the last quarter or probably in Q4, you guided that we should be bottoming out around Q1, Q2 in the consumer business and then we should start picking it up. How is it trending now, the consumer business? And what percentage of your overall business does consumer contribute now?
Dhruv Shringi: So the consumer, let me just work backwards. The consumer business now is accounting for about 1/3 of our overall gross bookings. And in terms of the trending of the consumer business, the consumer business has definitely bottomed out, and we've seen profitability improve over there. We would expect a gradual kind of increase in the consumer business as well. While we would expect the corporate business to grow between 13% to 20%, we would expect the consumer business to grow in the mid- to high single digits. And this growth that we're looking at in the consumer business is all profitable growth only. We are not looking at doing any negative cost of acquisition. So whatever growth rate we are projecting out here on the consumer business, that is all going to be incremental and accretive from a bottom line point of view.
Unknown Analyst: Very good. Next is just on the call on the previous question, you mentioned towards your effort towards streamlining the corporate structure. You said you are doing some approvals. Can you just throw some more light exactly where we are and how do you see it progressing. By when do you see it to be completed?
Dhruv Shringi: It's hard to give an exact time line on that, but it remains a key priority for us as an organization. As you might be aware, we have -- our corporate structure entails entities in Cayman Island, Cyprus and Singapore. So it is a multi-jurisdiction transaction that has to go through. So to that extent, there are multiple regulators that will get involved in this process. That's the reason why it's difficult to give an exact time line on this. But I think from a commitment point of view, the organization is fully committed to this.
Unknown Analyst: Should we expect it to be completed in an year's time or it could be longer?
Dhruv Shringi: As I said, it's hard for me to give a time line to this. But if I was to give it my best estimate, I don't think it should take as long as a year. I mean that's my best estimate of it, but it's all obviously subject to regulatory approvals across the different jurisdictions.
Unknown Analyst: And how do you -- how are you planning it. Will it involve a delisting of the U.S. company, merger with the Indian company? I mean, merger with the Yatra Online. How exactly are you envisaging it currently?
Dhruv Shringi: I think it will be a bit premature to talk about that at this stage. When we have the exact plan, which is signed off by all regulatory elements, we will publish that out for shareholders. I think it will be difficult for me to really articulate that at this point.
Unknown Analyst: Okay. But so my key takeaway is it should take less than a year, but that is the best estimate. There is no commitment from your side.
Operator: [Operator Instructions] We have a follow-up question from Aman.
Unknown Analyst: I will take my liberty here. As you are aware, the other listed Indian OTA in the U.S. is MMT. And the valuation gap is quite considerable to MMT versus what we trade at. Any plans on how can we fix it?
Dhruv Shringi: See, I think in terms of the U.S. entity, the holding company today, as you rightly pointed out, trades at a meaningful discount to peers. Part of it is also driven by the much smaller market cap and the lack of liquidity. One of the ways that we are trying to solve for or rather the key way that we are trying to solve for is to introduce some kind of a fungibility because in India, the entity is trading at a much better multiple than where it's trading in the U.S. So that's the entire reason for taking on this exercise of trying to streamline the corporate structure and put in place some kind of a fungibility to the shares. That's definitely one way that we are looking at doing it. And in India, we've been -- based on the strong performance that we have, interacting with analysts, large amount of investor community, and that's what's driving the momentum behind the stock in India.
Unknown Analyst: Okay. Just for my clarity, what exactly do you mean the fungibility.
Dhruv Shringi: By fungibility, I mean the ability of a U.S. shareholder at some point to get the same price or similar price to what exists in India.
Unknown Analyst: Okay. So does that mean getting the Indian shares?
Dhruv Shringi: Yes. As I said to you earlier as well, Aman, that's something that once the plan is concrete, approved and adopted by the Board, we will share that out transparently with all shareholders.
Operator: I can confirm that does conclude the question-and-answer session here. I'd like to hand it back to you for some final closing comments.
Dhruv Shringi: Thank you, moderator. I'd like to thank all of you for joining the call today. If you have any further questions, please reach out to our IR partners, ICR. Thank you for your time.
Operator: Thank you. This does conclude today's conference call with Yatra. Thank you all for your participation. You may now disconnect, and please enjoy the rest of your day.